Operator: Ladies and gentlemen, thank you for standing by. My name is Abby, and I'll be your conference operator today. At this time, I would like to welcome everyone to the SS&C Technologies Second Quarter 2025 Earnings Call. [Operator Instructions] Thank you, and I would now like to turn the conference over to Justine Stone, Head of Investor Relations. You may begin.
Justine Stone: Welcome, and thank you for joining us for our Q2 2025 earnings call. I'm Justine Stone, Investor Relations for SS&C. With me today is Bill Stone, Chairman and Chief Executive Officer; Rahul Kanwar, President and Chief Operating Officer; and Brian Schell, our Chief Financial Officer. Before we get started, we need to review the safe harbor statement. Please note that various remarks we make today about future expectations, plans and prospects, including the financial outlook we provide, constitute forward-looking statements for the purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, July 23, 2025. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. During today's call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today's earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I will now turn the call over to Bill.
William C. Stone: Thanks, Justine, and welcome, everyone. Our second quarter results include record adjusted revenue of [ $1.5378 billion ], up 5.9% and adjusted earnings per share of $1.45, a 9.8% increase. We delivered record adjusted consolidated EBITDA passing $600 million in the quarter for the first time, up 7.4%, resulting in a quarterly adjusted consolidated EBITDA margin of 39%. Second quarter adjusted organic revenue growth was 3.5% with performance driven by GlobeOp, GIDS and WIT businesses. GlobeOp organic growth of 7.3% was driven by double-digit growth in private markets and retail alternatives. GIDS continues to win key clients and deliver high-level professional services. Health finished the quarter with flat organic growth. Q2 Financial Services recurring revenue growth was 3.9%, which includes software-enabled services and maintenance revenue. Internationally, we are seeing strength in Europe, Australia and the Middle East, spanning multiple business units. This broad success reflects a positive trend of increased international win rates attributable to the investments we have made over the past several years and our ability to provide increasingly sophisticated services. Overall, we deliver our service with a client-focused approach and our retention rate was stable at 97%. For the 6 months ended June 30, 2025, cash from operating activities was $645.1 million, up 14% year-over-year. In Q2, we bought back 3.4 million shares for $269 million at an average price of $77.99. We will continue to buy back shares opportunistically and recently grew our share repurchase authorization to $1.5 billion. We are continuously investing in our AI strategy. We believe some of our most significant competitive advantages lies in partnering Blue Prism with our business units to identify workflow, build new AI agent and deploy them internally. [Audio Gap] quarter, our approach successfully resulted in our first AI agent sale to an insurance conglomerate in the Midwest. Client processes hundreds of credit agreements monthly, and the AI agent reduces manual effort by up to 80%, speeds up processing by 3x and improves accuracy to 99% plus. We believe this win is indicative of future opportunities across our 22,000 strong client base. I'll now turn it over to Rahul to discuss the quarter in more detail.
Rahul Kanwar: Thanks, Bill. We had a solid second quarter with 3.5% organic revenue growth and 50 basis points of margin expansion year-over- year. Our fund administration business, GlobeOp, continues to show strength with private markets growing over 10%, driven by the complexity of credit and hybrid funds as well as family offices. Retail alternatives, while still a smaller part of this business, is growing 20% with substantial runway. Battea, our class action services business won 30 new clients in Q2 with 2/3 of them being SS&C client cross-sells. Our newer software solutions continue to gain traction. Genesis is well positioned to support both new and existing customers with multiple implementations underway. Our most recent client [ go-live ] was a $75-billion-plus bank trust in the Midwest, where we replaced a competitor. Similarly, Singularity has had recent success winning large insurance companies. We are focused on continuing to enhance asset coverage and functionality and are launching new features in bank loans, commercial mortgage loans and enhanced income monitoring tools. We have noticed previously that the strength in our business and the diversification of our revenue across product lines and types of customers often allows us to overcome macroeconomic challenges that may arise and still perform in a predictable way. We proved that this quarter with success despite Intralinks having some macroeconomic challenges, including declines in global deal volume and active deal flow in Q2. Early indicators do show activity is picking up in the second half of the year, and our brand-new platform, DealCentre, combines the power of AI with an enhanced user experience and increases our win rates. With that, I'll turn it over to Brian to walk through the financials.
Brian Norman Schell: Thanks, Rahul, and good day, everyone. Unless noted otherwise, the quarterly comparisons are Q2 2024. As disclosed in our press release, our Q2 2025 GAAP results reflect revenues of $1.537 billion, net income of $181 million and diluted earnings per share of $0.72. Our adjusted non-GAAP results include revenues of $1.538 billion, an increase of 5.9% and adjusted diluted EPS of $1.45, a 9.8% increase. The adjusted revenue increase of $85 million was primarily driven by incremental revenue contributions from GlobeOp of $28 million, WIT of $15 million, acquisitions of $21 million and a favorable impact from foreign exchange of $14 million. As a result, adjusted organic revenue growth on a constant currency basis was 3.5% and core expenses increased 3.1% or $28 million. Adjusted consolidated EBITDA was $600.4 million, reflecting an increase of $42 million or 7.4% and a margin of 39%, a 50 basis point expansion. Note, EBITDA of $600.4 million is a quarterly record high for SS&C. Net interest expense for 2Q '25 was $106 million, a decrease of $8 million, primarily reflecting lower short-term interest rates. Adjusted net income was $366 million, up 10.2% and adjusted diluted EPS was $1.45, an increase of 9.8%. Our effective non-GAAP tax rate was 24%. Note, for comparison purposes, we have recast the 2024 quarterly adjusted net income to reflect the full year effective tax rate of 23.1%. Cash flow from operating activities grew 14%, which was driven by growth in earnings. Our year-to-date cash flow conversion was 88% compared to 85% last year. SS&C ended the second quarter with $480 million in cash and cash equivalents and $6.9 billion in gross debt. SS&C's net debt was $6.4 billion, and our last 12 months consolidated EBITDA was $2.4 billion. Resulting net leverage ratio is 2.72x. As we look forward to the third quarter and the remainder of the year with respect to guidance, we will continue to focus on client service and assume that retention rates will be in the range of our most recent results. [Audio Gap] continue to manage our business to support our long-term growth and manage our expenses by controlling and aligning variable expenses, increasing productivity, improve our operating margins and effectively investing the business through marketing, sales and R&D. Specifically, we have assumed in our guidance, interest rates to remain at current levels and effective tax rate of approximately 24% on an adjusted basis, capital expenditures to be in the 4.1% to 4.5% of revenues and no impact related to the Calastone acquisition. For the third quarter of '25, we expect revenue to be in the range of $1.525 billion to $1.565 billion and 4.5% organic revenue growth at the midpoint. Adjusted net income in the range of $364 million to $380 million. Interest expense, excluding amortization of deferred financing costs and original issue discount in the range of $101 million to $103 million, diluted shares in the range of $252.5 million to $253.5 million and adjusted diluted EPS in the range of $1.44 to $1.50. For the full year '25, we are raising our top line guidance by [ $15 million ] at the midpoint and now expect revenue to be in the range of $6.143 billion to $6.243 billion and 4.5% organic revenue growth at the midpoint. For the full year '25, we are also raising our earnings guidance. Specifically, we expect adjusted net income to be in the range of $1.462 billion to $1.542 billion, diluted shares in the range of $251.5 million to $254.5 million, adjusted diluted EPS in the range of $5.82 to $6.06, up $0.10 at the midpoint and cash from operating activities to be in the range of $1.479 billion to $1.559 billion. Our 2025 guidance reflects our solid results in the first half of 2025 with a continued positive outlook for the remainder of the year. And now back to Bill.
William C. Stone: Thanks, Brian. On Monday, we announced a definitive agreement to acquire Calastone expected to close in Q4 of this year. We're excited about the attractive geographies, additional capabilities that we can provide in the ETFs, digital assets and money market products and cross-sell opportunities. The acquisition is accretive to revenue growth, EBITDA margin and will be EPS accretive within 12 months. This is in line with our capital allocation strategy of finding high-quality businesses, which are a strategic fit. I will now open it up for questions.
Operator: [Operator Instructions] And our first question comes from the line of Jeff Schmitt with William Blair.
Jeffrey Paul Schmitt: On the Calastone deal, could you discuss the revenue synergy potential here? You've called out some cross-selling opportunities. Where do you see the biggest cross-selling opportunities? And could you quantify it at all?
William C. Stone: Well, it's still early. I wouldn't say that we have anything that I can pinpoint. But they have 4,500 clients, and we have probably 10,000 that could be addressable with those 4,500 in things like crypto and digital -- other digital assets as well as ETFs. So they're very strong in ETFs. And so we have a pretty nice ETF business ourselves. So we think the cross-selling and upselling in that space will be pretty attractive. And we would expect Calastone, which has been growing in excess of 10%, closer to 15% for the last several years that we'll have an opportunity to perhaps accelerate that.
Jeffrey Paul Schmitt: Okay. And then capital expenditures have been over 4% of revenues in the last 2 years. You're expecting it again this year. Previously, they're more like 2% to 3%. And I was just curious how much of that increase is going to kind of higher maintenance CapEx versus investments in growth [Audio Gap]
William C. Stone: Well, I would say that we have a large suite of products, technology products. And so those take some of those R&D dollars. And also, we're moving into different products and services. We've had considerable success in Australia, and we have built software specifically for that market. And we do that across any number of our geographies in any number of our product suites. As Rahul said, we have significant development in private assets and retail alts in our GlobeOp division, and we also have brought out Genesis in our Wealth and Investment Technologies division. So -- and we also are still investing in DomaniRx, and we have what we think are lots of opportunities.
Jeffrey Paul Schmitt: Okay. So it sounds like more, I guess, investments in growth? And should we expect it to kind of stay up at these higher levels going forward?
William C. Stone: Well, Anthony Caiafa, who's our CTO, thinks it will. So as much as we try to slow him down, technology is our seed corn. So we've got to be careful that we don't cut off our nose despite our face. So we're going to continue to invest in our business, and we're generating lots of cash. We're paying down debt. We're buying back stock. We're looking at acquisitions. But we're not going to starve our development teams or our services teams.
Operator: And our next question comes from the line of Alexei Gogolev with JPMorgan.
Alexei Mihaylovich Gogolev: First of all, Brian, organic growth guidance for 2Q was ahead of your initial forecast, and yet you almost did not change your organic revenue outlook for full year, and it still sort of remains around 4.5%. Mechanically, this implies that you're now assuming slightly weaker organic growth in the second half. Were there any deals that were pulled forward that resulted in better performance in the quarter?
Brian Norman Schell: No, I think just -- thanks for the question. I think if you look at kind of in the aggregate, if you look at the first half versus the second half, they're roughly equivalent as far as organic growth grows. Obviously -- and we continue to go against higher and higher quarterly numbers, which is obviously in 2024. So I think the -- our expectations around the second half continue to be strong all in into the overall aggregate for the 4.5% for the full year.
Alexei Mihaylovich Gogolev: Okay. And then another question related to acquisitions. I don't know maybe, Bill, this is perhaps for you. What would you see as a comfortable level of leverage should you see any potential attractive deals beyond the one that you announced earlier this week?
William C. Stone: Yes. I mean, I think -- that would be comfortable for us to be in the mid-4s. So we're 27.2 now, if you [ get into 450 ], that's almost 2 turns, which would be $4.8 billion, plus we would have some cash to be able to probably do $5 billion acquisition. So it depends how good the acquisition is. We're not afraid to run the business with the debt load because we're a very sticky business. We have great relationships with our clients. Our clients are growing, and we're in the sweet spots of Financial Services, we think.
Operator: And our next question comes from the line of Kevin McVeigh with UBS.
Kevin Damien McVeigh: Congratulations on the results and the deal. Bill, I think you mentioned within GIDS, a high level of professional services. Is there any way to think about, number one, what percentage of the revenue is professional services? And then is that a leading indicator? Is it professional services, kind of you do the work and then ultimately, it pivots to revenue? Is that a fair way to think about it? And typically, what's the lead time? I mean, I know some of the wins are getting bigger, but just are we thinking about that right?
William C. Stone: Well, I think the professional services is really to build out the service or build out the technology to meet the demands of any of these specific clients. Generally, that's a 3- to 6-month process. And generally, we get paid for that 3 to 6, which is revenue. But then it usually turns into a services contract where we do the work, like with Insignia, we rebadged 1,300 people from Insignia to us. So our charge is to help them grow and also to manage our expenses in a way that it becomes increasingly profitable.
Kevin Damien McVeigh: That's helpful. And I think the other thing you mentioned was the EBITDA, obviously, at a record high. Any way to think about -- and just maybe more, Brian, just the pacing and the seasonality on that. Obviously, it's a Q2, which is a terrific outcome. But any shift in kind of the seasonality of the business and how we're thinking about the EBITDA over the course of the year?
Brian Norman Schell: As you look at the course of the revenue growth over time, right? So -- and some of that will depend upon the revenue growth in the various kind of business units and where it comes from. Obviously, with rev rec and 606, if you get a little bit more revenue coming in from some of those businesses, obviously has a higher margin within that particular quarter at the time that it's booked. So you tend to get a little bit more of that revenue in Q4. So you get a little bit of lift, all else being equal for the, I'll call it, kind of that core infrastructure expense doesn't really adjust the same way up. So you'll get a little bit of that pickup. So you just kind of -- we look at it over the different lines of businesses and roll that up over time. And obviously, as you continue to grow the revenues over different periods of time, you're just continuing to leverage your scale, right? It's just -- our goal is to -- optimally is to grow the revenues faster than expenses, and you just have a little bit of that revenue seasonality in Q4. So you tend to get a little bit of a pickup in the EBITDA margin.
Operator: And our next question comes from the line of Dan Perlin with RBC Capital Markets.
Daniel Rock Perlin: I was wondering if you could comment on what Battea is actually growing at like revenue growth rates in the quarter kind of on a year-over-year basis as we're kind of contemplating that rolling into organic growth in the fourth quarter?
Brian Norman Schell: Yes.
William C. Stone: Go ahead, go ahead.
Brian Norman Schell: Yes. It's basically growing at a historical growth rate because I know that was -- obviously, we didn't own it during the second quarter. So it's growing at -- kind of at low double-digit growth rate. And we're going to see a seasonally -- like and we said this on the prior call as well is that when we look at Battea and it can be very seasonal as well, right, as far as it can be very lumpy in any one quarter based on what's going on in clearing class action suits. And when we look at historically over the last, call it, 5 or 6 years, the frequency of the fourth quarter or the second half being the lumpiest of the full year, over 50% of the time, you'll see a higher percentage of the revenues weighted toward the back half of the year as courts tend to clear their dockets towards the end of the year versus early part of the year. And this year is shaping up to be similar to one of those years. So we'd expect to see accelerated growth rate in the second half, similar to what they've done historically. It wasn't necessarily the case last year, but more the case looking this year.
Daniel Rock Perlin: Got it. That's great. And then just, I guess, more philosophically, Bill, like the Calastone deal here, again, you've got an asset that's growing, I think organically, you said 10-plus percent. We just talked about Battea growing low double digits and maybe there's some lumpiness to it. But in aggregate, like these are assets that have organic growth that's better than kind of your current run rate and margins that are not like big fixer-uppers, which are somewhat counterintuitive relative to what you've historically done over the years. So I'm just wondering like is the tone from the top that you're going to point a lot more assets and capital into kind of expanding that organic growth trajectory as these assets kind of keep rolling in? Because it would seem as though that's a strategic move on your part, but I'm not sure if it's entirely the focus point. I'm just trying to get a sense there.
William C. Stone: Yes. Dan, I think, of course, I mean, you only need to get hit in the head about 1,000 times before you decide that you guys really love organic revenue growth. I like growth and I like earnings. But we have a lot of opportunities where we find good teams like they have at Calastone. And we've known Julien Hammerson for several years and a very impressive guy. And I think that when we find that same thing that we had with Michael McCreesh and Pete Hansen at Battea. So it's finding the right mix and trying not to get too investment banker influenced as to what we should do. We, like I said, made over $600 million in consolidated EBITDA this quarter, and we're well on our way to make more money in the second half than we made in the first half. And as Brian said, there is some seasonality, and we still sell some software, too. So that generally is in the fourth quarter and generally in the last 2 weeks of the fourth quarter. So it's always the last 2 weeks of the quarter, but it's a larger chunk in Q4. So I don't think that's going to change.
Operator: And our next question comes from the line of Peter Heckmann with D.A. Davidson.
Peter James Heckmann: On Calastone, could you explain a little bit more what their funds network does. I did a little bit of work on the website, and I'm not sure I'm 100% grasping it. Is it really a BPO function for things like post-trade processing and trade reconciliation? Or am I reading that incorrectly?
William C. Stone: That's a couple of the services that they provide. And they have obviously a big network that really allows them to have straight- through processing with very little manual intervention.
Peter James Heckmann: Okay. And on a multi-country basis?
William C. Stone: I think they're in 57 countries, I think is the number.
Peter James Heckmann: Okay. And then I didn't hear an update on the Health Solutions segment. Anything new there? And are we still thinking that we're in the process of kind of really marketing and selling the solution and thinking about incremental revenue or any real material revenue acceleration occurring maybe a year out from now? Is that how we should be thinking about it?
William C. Stone: Well, I think, Pete, that almost all of these health plans, Medicaid and Medicare are all -- they begin in January 1. So really, you find out whether or not you won these deals in like October 1. So that's the selling season that's right now through the end of the year. And primarily, you're not closing any deals in December because you have to get these people up and running on January 1. So it's just recognizing those dynamics in that business and then also recognizing that there is -- they're lumpy. This is their whole business and a small deal in health care is [indiscernible] to be like $5 million. A big one could be $100 million. So you've got to recognize that some of it's going to be the maturation of that selling and marketing process and then being able to really get some traction where people start singing the praises of having a brand-new system and data and analysis at their fingertips versus we've had some of the CEOs at major health care companies talk about 2 or 3 weeks to get the data in a usable form. So we think there's a lot of advantages and it's -- we make money in our Healthcare business, we generate cash. And we think it's a huge opportunity. We have a new Board member who lives in London, and he acts like it's not just the United States that needs health care solutions. So there's opportunity.
Operator: And our next question comes from the line of James Faucette with Morgan Stanley.
Michael Nicholas Infante: It's Michael Infante on for James. I just wanted to ask a technical question on Calastone and specifically their DMI platform. I know that's blockchain-native, and it's obviously still quite early. But any sense of the technical or commercial hurdles that would prevent you from routing a big chunk of SS&C administered flows through DMI over the next several years and maybe what that would mean from a cost savings perspective relative to SWIFT messaging?
William C. Stone: Well, that's something that we're looking at and getting all the technical aspects and all the specifications is one of the reasons you see it as [ 4.1% to 4.5% ] in what we spend on R&D, and we have people working -- and Julien at Calastone is quite technical, and his team is quite technical. So we'll have our technical teams together, and we'll do what is optimal for our clients. And I'm sure that the scale that we bring is going to allow us to have better pricing.
Michael Nicholas Infante: Got it. Helpful. Just a quick housekeeping follow-up on Battea. I think you suggested last quarter that you were still working through some of the rev rec dynamics there, which in and of itself, that asset is, again, seasonally concentrated in fiscal 4Q. But do you have more visibility on what that rev rec looks like now? And are you still comfortable with that full year range being [ 100 to 110 ] of contribution?
Rahul Kanwar: I think we're getting -- we're definitely making progress on it as we get more history, and we have really good visibility into what is already, in effect, been adjudicated and is waiting to be released. So yes, we feel better about it. I wouldn't say we're 100% of the way there, but we are getting closer.
William C. Stone: Yes. We operate with the different law firms that have won these cases and staying on top of them, too, so that they stay on top of the judges so that the judges release the funds. That's when everybody gets paid.
Operator: [Operator Instructions] And our next question comes from the line of Surinder Thind with Jefferies.
Surinder Singh Thind: Bill, can you just provide kind of an update on Blue Prism strategically, where you think you are on the product life cycle in terms of all the new features and functionality and just kind of what you see in the pipeline at this point?
William C. Stone: Well, we're really kind of rolling out kind of a case study of what we did. So we got -- we bought Blue Prism, I think, in like March, April of 2022, I think. And we've deployed several thousand digital workers and doing increasingly complex tasks. And we think that we have saved or at least not spent a couple of hundred million dollars because of that investment. And as we show what we're doing with agentic AI and Blue Prism, we're starting to get some real interest as a solution for a lot of their manual issues. We remain optimistic that Blue Prism has a lot of runway and -- but it's competitive and it's a Wild West out there. So you got to do this in a wise manner, and you got to protect your clients.
Surinder Singh Thind: Got it. And then just kind of on the Intralinks piece and the whole idea of volumes, deal counts. How significant has the degradation been from the beginning of the year to now? And then maybe how you're thinking about the back half?
Rahul Kanwar: deal counts are up, things like that. There usually is a couple of month lag, but we do expect some growth from this point in the back Yes. I think the answer to both of those is related. There's a little bit of a lag. It's mostly -- so we have some leading indicators, the number of opportunities, the number of kind of deals in the market as well as what we have in bookings, which then translates to half of the year.
Surinder Singh Thind: Got it. Meaning that you expect growth in the back half to be positive like in terms of absolute numbers?
Unidentified Company Representative: That's right.
Operator: And we have no further questions. So I will now turn the call back over to Mr. Bill Stone for closing remarks.
William C. Stone: Thank you, and thanks, everybody, for being on the call. We're working hard for our shareholders as we always do, and it's nice to present good results, and we look forward to seeing you in October. Thanks a lot.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.